Operator: Ladies and gentlemen, thank you for standing by. Welcome to the AMN Healthcare Fourth Quarter 2017 Earnings Call. At this time all participants will be in a listen-only mode and then later there will be a question-and-answer session, instructions will be given at that time. [Operator Instructions] And as a reminder, this conference is being recorded. And I'll now turn the meeting over to our host, Director of Investor Relations, Mr. Randy Reece. Please go ahead, sir.
Randy Reece: Good afternoon, everyone. Welcome the AMN Healthcare's fourth quarter 2017 earnings call. A replay of this webcast will be available until February 28th at amnhealthcare.investorroom.com. Following the conclusion of this call, details for the audio replay of the conference call are in our earnings release issued this afternoon. Various remarks we make during this call about future expectations, projections, plans, events or circumstances constitute forward-looking statements. These statements reflect the company's current beliefs based upon information currently available to it. Our actual results may differ materially from those indicated by these forward-looking statements as a result of various factors, including those identified in our most recent Form 10-K and subsequent filings with the SEC. The company does not intend to update the guidance or any forward-looking statements provided today prior to its next earnings release. This call contains certain non-GAAP financial information. Information regarding and reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are included in our earnings release and on the Financial Reports page of the company's website, which can be accessed at amnhealthcare.investorroom.com. On the call today are Susan Salka, President and Chief Executive Officer; Brian Scott, Chief Financial Officer; Ralph Henderson, President of Professional Services and Staffing; and Dan White, President of Strategic Workforce Solutions. I will now turn the call over to Susan.
Susan Salka: Thank you so much Randy. 2017 was another milestone year for AMN Healthcare and we are very proud to end on strong note with revenue and profitability ahead of our expectations for the fourth quarter. Through the year, AMN proved that we could respond to short-term surprises while increasing long-term investments. Our strategy to evolve our workforce solutions portfolio and extend our capabilities benefits our clients, our health care providers, team members and our shareholders. Over the last five years, AMN Healthcare has doubled annual revenue and more than tripled adjusted EBITDA and our enterprise value. The addition of higher margin service lines that expanded value to our clients enabled us to improve our margin profile. Our scalable business model also resulted in improved operating leverage in all our businesses. 2017 was a year with less than optimal market conditions and yet, AMN and our industry continue to deliver critical value to the healthcare community and the patients that they serve. For the full year, AMN grew revenue 5% to nearly $2 billion despite a 2% headwind from minimal labor disruption business. This was led by 8% growth in our largest business of Travel Nursing. Consolidated adjusted EBITDA grew 8% and reached a margin of 12.9% improving 40 basis points year-over-year. The lead story for AMN last year was our success in MSP. In 2017, we won new MSP clients with over $230 million in gross spend under management. We are on a solid path for 2018 starting the year with a robust MSP sales pipeline. We have a strong fourth quarter with revenue and adjusted EBITDA beating the upper end of our guidance. Our revenue of $5.9 million was 4% higher year-over-year lead by strength in Travel Nurse, Allied. The quarter also included 4% year-over-year revenue growth for our Locum Tenens segment. Our adjusted EBITDA was $64 million and represented a margin of 12.6%. The overall demand environment remains favorable, and macro drivers support continued growth in our business. We work daily to evolve our business model to stay ahead of clients needs and the competition. We are investing back into the business to feel future growth to retain and recruit the best talent and to build on our competitive advantages. Innovation and investments are essential to the future of AMN and to achieving our goal of 14% adjusted EBITDA margin by 2020. Now, let’s review fourth quarter performance and trends for our business. Our Nurse and Allied segment posted revenue of $321 million, higher by 4% year-over-year. Revenue for our largest business Travel Nurse Staffing increased 8% year-over-year. This growth was driven primarily by volume increases. Our investments in digital marketing and recruitment of new candidates also are paying off with applicants and new travelers start up year-over-year. In recent months, the demand environment for travel nurse staffing showed improving momentum. Although overall demand still remains below prior year that gap is narrowing and new orders are growing at a double-digit rate with particular strength in our MSP clients. In the fourth quarter, the Allied staffing division achieved revenue growth of 6% year-over-year, driven by volume increases. We had double-digit growth in imaging and the team has done a great job of growing specialties across a variety of settings. MSP clients represented about 45% of this division's revenue driven by higher fill rates. Looking ahead to the first quarter, the Nurse and Allied segment is expected to be up 7% to 8% year-over-year. In the Locum Tenens segment, fourth quarter revenue of $108 million grew 4% year-over-year. Many specialties sustained growth though primary care, psychiatry and hospitalists were down. Overall demand for Locum is strong and slightly above prior year and we are seeing an increase in MSP wins that include Locum’s. While we are pleased with outside results achieved in the second half of 2017, keep in mind that the Locum's business is in the mid of a model and technology upgrade. In the near term, these changes have been disrupted to productivity, which is reflected in our first quarter guidance. However, we are confident that the long-term of these changes will justify the short-term impact. For the first quarter, Locum Tenens revenue is expected to be slightly down year-over-year. Fourth quarter revenue and our other workforce solutions segment was $80 million, which was 5% higher year-over-year. Growth was led by our interim leadership, VMS, health information management and workforce optimization businesses, which collectively grew over 10% year-over-year. Our permanent placement related businesses declined year-over-year although at a slower rate than last quarter. Interim leadership which includes B.E. Smith and the First String was up 11% year-over-year. The team has really made great progress on MSP placements, which have reached nearly 20% of the revenue. Our VMS businesses, which are largely vendor neutral, grew 15%. The team has done a great job of adding new customers and expanding services to meet the changing needs of the clients. For example, Medefis, launched new capabilities in the fourth quarter to support Locum’s and non-clinical staffing. ShiftWise also recently launched their next generation platform. Our health information management business, Peak Health posted 8% revenue growth, the ramp of new client wins gives us great confidence in continued growth for 2018. Physician permanent placement fourth quarter revenue was below prior year by about 10%, but in line with our expectations. This business is regaining its footings with revenue expected to be down in this single-digits year-over-year in the first quarter. Our workforce optimization business, Avantas, had a solid quarter with revenue up double-digits over prior year. Consulting and analytic services continue to be in high demand and are differentiating AMN. Building off 2017 momentum, Avantas will introduce a new product release in the first quarter including mobile, functionality and an online analytics dashboard. We feel well positioned in this business as we move forward. Overall, first quarter revenues for the Other Workforce Solutions segment is expected to be up approximately 3% to 4% year-over-year. Our long-term strategy of investing in on talent, technology and workforce solutions is the right thing for all of our stakeholders. Recent federal tax reforms have enhanced our ability to reinvest from a position of even greater strength. A substantially lower tax rate increases our cash flow giving AMN the flexibility to accelerate these growth strategies. Much of the tax benefit will immediately flow through to shareholders in increased earnings. At the same time, we also intend to accelerate investments in key strategic areas such as digital and mobile capabilities, employee productivity tools and process improvements. We also will be using this opportunity to further increase investment in our team members with a variety of initiatives that will focus on training and development our work environment and compensation and benefits program. As an active supporter to many important social and non-profit causes, we will also be increasing our charitable contribution an alignment with our clients, team members and the needs of our communities. We estimate the increased spending from these initiatives will impact adjusted EBITDA margin by about 20 basis points in 2018 with an EPS impact of about $0.09. We expect the long-term benefits of these investments will more than justify the cost. Since we created our workforce solutions strategy almost a decade ago, AMN has dramatically evolved our client engagement model. We are earning a more collaborative position in helping our clients manage and optimize their clinical workforce, which is their single largest operating expense. On the talent side, AMN is evolving with the healthcare workforce in new and better ways. The value we bring to healthcare professionals is just as important as serving our clients. At the heart of everything AMN does our 3,000 talented and energetic corporate team members. They embody our commitment to doing things right in putting the extra effort to exceed expectations of our clients, our healthcare professionals and the communities we serve. Now I will turn the call over to Brian for a financial update after which Ralph and Dan will join us for the Q&A section of the call.
Brian Scott: Thank you, Susan, and good afternoon everyone. The company’s fourth quarter of $509.1 million was $5 million above the high-end of our guidance range with outperformance in all three segments. As expected, labor and structure revenue in the quarter was $3 million as compared to $12 million in the prior year. Excluding this labor disruption revenue, fourth quarter consolidated revenue was 6% above prior year. Gross margin for the quarter was 31.8%, down 70 basis points from last year and 50 basis points from last quarter. The year-over-year margin decline was due mainly to lower bill pay spreads in Locum Tenens and the lower gross margin in the other workforce solutions segment due mainly to business mix changes. The sequential gross margin decline was driven by seasonal revenue mix changes along with a lower Locum Tenens gross margin. SG&A expenses in the quarter totaled $100.4 million, or 19.7% of revenue, as compared to 20.7% last year and 20.3% last quarter. The improved SG&A margin from the prior year was primarily the result of operating leverage. Fourth quarter Nurse and Allied segment revenue was $321.4 million, an increase of 4% from the prior year and 6% sequentially. The volume was higher by 5% year-over-year, while the average bill rate increased by 1%. Nurse and Allied gross margin of 27.4% was 10 basis points higher compared to the prior year and prior quarter. This segment recorded a $2 million favorable for professional liability reserve adjustment in both the current quarter and the prior year quarter. Fourth quarter Locum’s Tenens segment revenue was $108.1 million was 4% higher than in prior year and down 3% on a sequential basis. On a year-over-year basis, the bill rate increased by 6% and the number of days filled was lower by 1%. Locum Tenens gross margin of 29.3% was down 150 basis points from the prior year, driven mainly by a lower bill-to-pay spread as physician pay rates have been increasing faster than bill rates. As a reminder the Locum Tenens SG&A in the prior year quarter include a favorable professional liability reserve adjustment of $3 million. Excluding this adjustment, Locum Tenens EBITDA margin was relatively consistent with the prior year but down sequentially on the lower gross margin. Fourth quarter other workforce solutions segment revenue of $79.6 million was up 5% year-over-year and down 1% sequentially. Gross margin at 53.1% was lower by 260 basis points year-over-year and 100 basis points sequentially. The year-over-year variance was driven in large part from the lower mix of permanent placement revenue along with higher direct cost in interim leadership. Unallocated corporate overhead in the quarter was $15.5 million representing 3.1% of revenue compared to the prior year expense of $18.6 million or 3.8% of revenue. As a reminder, the prior year included the non-favorable legal reserve adjustment. Excluding this corporate overhead was relatively consistent with the prior year and prior quarter. On a consolidated basis, fourth quarter adjusted EBITDA of $64.4 million was up 6% year-over-year and 4% sequentially. The adjusted EBITDA margin of 12.6% was an improvement of 10 basis points over prior year and prior quarter. We have reported net income of $41.2 million and diluted earnings per share of $0.84 in the fourth quarter. Adjusted earnings per share was $0.63 compared to $0.62 in the prior year quarter. And calculating adjusted EPS, our tax rate in the quarter was 42%, which was higher than our expected rate of 39% lowering our EPS by $0.03. Our GAAP income tax rate in the quarter was 15%. This included a $14 million tax benefit on the remeasurement of our deferred taxes from the Tax Cuts and Jobs Act. For 2018, in consideration of the tax law changes, the company estimates that effective income tax rate will be approximately 29%. Cash provided by operations was $19 million for the quarter and $115 million for the full year, which compares to $132 million in the prior year. The fourth quarter included a $34 million transfer of certain self-insure reserves to our captive insurance entity, which was accounted for as a reduction in operating cash flow. Excluding this transfer and net of associated reduction in cash taxes, 2017 operating cash flow approximately $140 million. Days sales outstanding at quarter end was 63 days compared to 64 days in both the last quarter and the last year. As of December 31, cash and equivalents totaled $15 million, capital expenditures were $27 million for the full year. At year end, our total debt outstanding was $325 million and our leverage ratio was 1.3 times to 1. During the fourth quarter, we have repurchased 300,000 shares for a total of $13 million. As noted in the press release, we issued earlier this week on February 9th, we entered into a new $400 million revolving credit facility, replacing our previous facility. This five year agreement includes improved terms and a reduction in pricing by at least 25 basis points at all leverage levels. Now, let’s turn to first quarter 2018 guidance. The company expects consolidated revenue of $516 million to $522 million. This represents top line growth of about 5% year-over-year. There is no labor disruption revenue included in this guidance nor was there any in the prior quarter. Gross margins is projected to be approximately 32%, SG&A expenses as a percentage of revenue are expected to be approximately 20% and adjusted EBITDA margins is expected to be 12.5% to 13%. Other first quarter 2018 estimates include the following. Interest expense of $4.7 million excluding any one-time expenses related to the new credit facility, depreciation expenses up $3.7 million, amortization expense of $4.4 million, stock based compensation expense of $2.9 million and diluted share count of 49.1 million shares. Before we open the call for questions, I just want to echo Susan's appreciation for the great work of our AMN team. Their passion for our clients, health care professionals and each other is the key to AMN success and we are excited to be investing more going forward and helping them achieve their professional and personal goals as part of the AMN family. And with that we would like to open up the call for questions.
Operator: [Operator Instructions] Our first question from the line of Tobey Sommer with SunTrust Robinson Humphrey. Your line is open.
Tobey Sommer: Thank you. I was wondering if you could review the importance of new orders versus total orders? And I think I got a grasp on it but we do talk about both metrics when it seems like new orders are fresh and likely be filled and some of the orders that have been around for a while maybe bits stale and kind of not pertinent? Thanks.
Brian Scott: Yes Tobey it’s a good question. You're right, we have begun to emphasize even more so over the last probably eight quarters the importance of new orders versus the total order count. Within the total order counts they have, they may not be stale but orders that are extremely difficult to fill or ones that maybe the client is less serious about filling and so sometimes that number is a little bit less predictable of our future than the new orders are. We've begun to pay quite a bit more attention to new orders in terms of determining our trend. The new orders are strong. I think we talked about being a double-digit in our Travel Nurse business. They're also were up recently in our Allied business and then demand is business and our Locum business as well. So I think that's why you hear some confidence about moving forward in our forecast as well as probably in our tone. One other thing on the total order count that I think is important, during the time of dramatic growth, the industry didn't have the capacity to grow at the rate that the client needs for growing, and that capacity has been built up particularly increasing the number of recruiters we have. And so therefore the total orders may never actually get back to some of the all-time high. It doesn't mean we couldn't grow really fast. It’s just it get sold more quickly. So I think we talked about this last call. We were a couple of days faster in filling in orders. Again, this quarter, we're another day quicker in filling orders so those are all positive things for our business.
Tobey Sommer: Great. Could you expand on the comments you made about maybe some of the leading indicators for Locum being encouraging to you beyond the 1Q guide since you did just do a system migration?
Brian Scott: Yes, we are in the process of this system migration. Actually takes place beginning of Q – or in Q1 through almost all of Q2. And with that, there is process changes that come that we've been implementing over the last probably, I guess, three months now. Things where people's roles change to become – to move more into roles where there is skills matter more, so they are selling skills versus kind of admin skills while the admin work goes away with the technology. The question is leading indicators we are seeing an increase in the demand based on the number of days our clients are requesting from us in the Locum business. I wish it was in our sweet spot it's a little bit a more difficult to fill specialty. So things like psychiatrists, we're seeing cRNA, those are going pretty fast and give us confidence right now they take us a little longer to fill and hence, also have a slight impact on our margin as recruiters try to get clinicians to into those assignments and sometimes have to pay a little bit more to get them there.
Susan Salka: Tobey probably the other strong indicator we have around demand in our ability to execute well on that demand is the strength that we see in more Locum's contracts with for MSP clients. And we have the strongest pipeline we've MSP clients. And we have the strongest pipeline we've ever seen in terms of clients wanting to migrate to their first MSP arrangement and through us ideally. And so that tells us that they see the demand continuing for Locum's and obviously we perform well in those environments.
Tobey Sommer: Great. And then maybe a question for Brian and I'll get back in the queue. Brian, could you talk about cash flow conversion in 2017 and maybe what your outlook is for cash flow conversion from EBITDA in 2018? Thanks.
Brian Scott: Sure. As I mentioned in the prepared remarks, the cash flow in 2017 was dampened a bit by the transfer to New York captive. Otherwise, there would have been a nice growth from 2016 to 2017 nearing the growth in the EBITDA as well. So historically we've been more in the kind of 40% to 50% conversion of EBITDA to operating cash flow. It will be north of 60%. There’s always going to be some variation in the working capital but just through the tax rate reduction, that will be north of 60% going forward.
Tobey Sommer: And how much of that north – how much of that delta is a function of the tax rate change versus the normal.
Brian Scott: That’s majority of it. Otherwise, I mean, the EBITDA margin obviously will go up over time a little bit, but the kind of the vast majority of that is really being driven by the lower tax rate.
Tobey Sommer: Okay. Thank you very much. I’ll get back in queue.
Operator: Thank you. And our next question from the line of Jeff Silber with BMO Capital Markets. Please go ahead.
Jeff Silber: Thank you so much. The media has been paying a lot of attention to the upgrade season. I'm just curious what impact it had on your business last quarter and what's embedded in your guidance for the current quarter?
Susan Salka: Thanks for the question Jeff. We did ask this, I think, every year but particularly in a year like this where we know there is been a greater epidemic and impact, we hear the thing even directly from our clients, but it's interesting that it doesn't seem to have a material impact on our business. It's very difficult, to be fair, it's very difficult for us to measure exactly the reason for every order coming in by the places that you see it most predominantly would be in local staffing as well as our rapid response businesses. Our best estimate would be in the fourth quarter. We might see an extra $1 million to $2 million from really incremental flu-related business and similarly in the first quarter. Now remember the fourth quarter, however, we also had a negative impact from the hurricanes at the beginning of October. And so those two probably somewhat offset each other in the fourth quarter. If we were to bake anything into the first quarter it will be at best, we think, $1 million to $2 million.
Jeff Silber : Okay great. That’s very helpful. Shifting gears to the Locum Tenens business, I understand your guidance for revenue to be down slightly. I know you're not giving guidance beyond the current quarter. But is it realistic to expect that business to start growing again in the near future?
Ralph Henderson: Yes this is Ralph. It’s a good question Jeff. It surprised us on the outside in Q3 and in Q4 from our original projections. So the new leadership, the changes they're making, the ability to shift their focus quickly for on recruiting new specialties and in new markets, the expansion of the physician license, there's a lot of really good things going on. There's been in fact demand increase in seven of the specialty with only four being down in the fourth quarter. So it is reasonable to expect us to get back to growth predicting that how much the disruption we have. I mean people who are in new roles using a new piece of technology and exactly sign around it as I would answer that question. So we've been kind of lenient toward seeing more growth towards the fourth quarter of the year. After the changes have taken effect and had the people had two or three months with the new technology and the new roles and expect to be positive both from a revenue and a margin perspective.
Jeff Silber : Okay, great, that's helping. And then just a couple of a numbers question. Brian, you talked about the refinancing. Is it possible to give us some sort of guesstimate what the impact is going to be on interest expense going forward? Or should we as use the first quarter guidance number as the run rate for the rest of the year?
Brian Scott: Yes, even the first quarter is a reasonable expectation. Keep in mind we have $325 million unsecured revolver, which that is the majority of the interest expense we have today, and that will continue forward the new facility is undrawn at this point. So it has really no material impact at all on our run rate interest expense going forward. But as we generate more cash through the year, we can actually create some interest income, so there could be at a bit of a reduction in the interest expense but the $4.7 million for the first quarter might go down to $4.6 million, $4.5 million by the end of the year.
Jeff Silber : Okay, great, that's fair. And then one final one. What should we be modeling for capital expenditures for the current year?
Brian Scott: I think mid-27 as we talked about in 2017, will likely be a similar level in 2018. One is we continue with the implementation as with Locum is going live as talked about and that we have work to do for Nursing and Allied through this year. We're also continuing to invest in some of the areas in some of the areas that Susan alluded to around some of our digital and mobile capabilities and some of the initiatives that we have in line for kind of accelerating some of our growth strategies. So into that probably some in the mid-20s again.
Jeff Silber : Okay, great. Thanks so much.
Operator: And our next question is from the line of Mark Marcon with R.W. Baird. Your line is open please go ahead.
Mark Marcon : Good afternoon. I’m wWondering with regards to Nurse and Allied, I mean, you're projecting a pickup in terms of the growth rate. What's the primary attribution to – is it the growth accuracy on the MSPs? Is there anything more unexpected pickup in terms of orders or any sort of regional variances? And then I've got a few others.
Ralph Henderson: This is Ralph. I’ll start. Sure other in the room may want to talk more about this. You're spot on. The MSP demand is up more than other demand so there’s a very favorable mix there. Obviously higher fill we have on our MSP orders that helps accelerate the demand increase into revenue. And then the really no other kind of refill changes. I mean things, were strong in California, New York, Florida, Texas, places where we are particularly strong geographically and in specialties where we're good. Talked about this before, Messieurs, ICU are we have extremely high internal fill rate. So that's actually a little bit the story as well in Allied. MSP volume increasing so kind of a favorable shift to MSP there and higher fill rates in our Allied business as well. So those two factors are probably the main drivers for that Nurse and Allied growth.
Susan Salka: And remember that connect that to the fact that we had an exceptionally strong year in 2017 in winning new MSPs. The majority of those were nursing and Allied we certainly had some Locum as well and those MSPs were one later in the year than actually we might have wanted. However, they are now going out in 2018 and so we'll actually see the majority of the benefit from those wins and 2018 and 2019. So we're starting to get some of that benefit in the first quarter.
Mark Marcon : Great. And then with regards to the new orders accelerating, can you give us a feel for like what the pace of the new orders are increasing on a year-over-year basis so far this year? And how does that look in terms of just if you were looking at it sequentially by month? Is it the pace increasing at an accelerating rate?
Ralph Henderson: Hey Mark this is Ralph. We look at that two ways. One is like a 13-week rolling trend and the other is a four-week rolling trend and probably much flavors we have is at the four-week rolling trend, which is the most recent trend is stronger than the 13-week trend.
Mark Marcon : Okay. And how much is the four-week rolling trend up?
Susan Salka: That’s, I think, a level of granularity that we typically don't provide publically.
Mark Marcon : Okay.
Susan Salka: We probably want a nice try.
Mark Marcon : And you got it right. My sense is things are getting stronger. I will talk off-line about that. In terms of the Locum Tenens, the gross margins there the expurgation longer-term is for that to go up. Is that still a reasonable expectation? Is there something that is going on from a very short-term perspective that's driving the gross margins down? Or is it maybe a function of MSP but the EBITDA margins should eventually even out? Just at this time how should we think about that?
Ralph Henderson: Yes a good question. Our long-term view is still that margin in that business ought to be around 32% kind of our target long-term. We certainly were disappointed to fall below that. You're right. In the past right, we had to pay a little bit more to implement new MSP business and that dropped our margins for some period of time. That's not really what's happened here. We've just seen a mix in specialties and also just the disruption of having team members who are software, they're in training. And so we just don't have that same amount of time to focus on it. So the physician pay rates are just a good to fall little bit faster than the client bill rate. And the good of this is they recognize the issue and we're starting to even in the last few weeks see improvements in the trends that are coming out and it's going to take a while to get to those people are assigned that when the long time in the business.
Mark Marcon : Okay, great. And then just what are you seeing in terms of wage and bill rate inflation? It sounds like wage inflation is picking up broadly speaking and so therefore there is an area where there are shortages. You expect it to be even higher and I'm wondering if you can also discuss your internal staff and what you're seeing there in terms of pressures?
Brian Scott: Sure, this is Brain. So we talked about the physician market, which is a little more dynamic as you're negotiating pay and bill rate as you're making placements. And so we have seen more of it there. On the nursing and Allied side, we haven't necessarily felt the same type of wage pressure of late that you may be hearing more in the broader side. I think that's probably a reflection of the growth we've seen in pay over the last couple of years through the increases as we try to bring more supply in the industry. So we have a little bit ahead of that, and so we're feeling in a good place right on the between supply and demand and compensation packages being very attractive as an industry. So I wouldn't equate those exactly to what you are hearing on a permanent side. Internally, I think you're hearing generally a little more wage inflation across the U.S. We certainly feel some of that. However, we tried to stay on top of that over the last couple years as well. As Susan talked about with the tax reform, we are using this as an opportunity to invest in our team members. They are the lifeblood of how we operate every day. And we want to make sure we are giving them the tools both training, development and compensation and benefits to ensure they our employer of choice and I think will that will help us stay kind of at or ahead of the curve relative to our competition.
Mark Marcon : So there’s still high level of confidence in terms of getting to the 14% EBITDA margin?
Susan Salka: Yes.
Mark Marcon : Great, thank you.
Susan Salka: Thank you Mark.
Operator: And we have a question from Tim McHugh with William Blair. Please go ahead.
Tim McHugh: Hi, yes thanks. Just on workforce solutions you talked about perm starting to show a little bit of signs of improvement and the trend and the rest of the business going strong. So can you reconcile that with, I guess, as we go into next year, 3%, 4% growth, just I guess it would feel like it should be stronger based on the qualitative commentary.
Brian Scott: Hey Tim. This is Brian. I will cover that first and then Susan can follow-on, but it's not obvious to a much different than the fourth quarter actuals. But the perm is improving. It's still down year-over-year that is a drag. Our other business lines are all performing well. When you look at leadership and the BMS and the Avantas but they have really very strong fourth quarter. So those rates will be down just a little bit in the first quarter but still strong overall. But if you kind of net all those together, you end up with a slightly lower rate of growth in the first quarter. I think as you move through the year and continue to see those perm trends improve, that will move that consolidated other workforce solutions growth rate more into the upper single or double digit as we’d expect it to be running in a normal environment.
Tim McHugh: Okay. And then can you just comment on the, I guess, the acquisition environment given and how you think about how aggressive to be buyback as you go into next year given where the balance sheet is trending at this point?
Susan Salka: Tim may be I’ll start with the acquisition environment and our strategy there. And then we can talk more about where that leads us with buybacks. So we still are actively looking and as you would expect, having discussions with a variety of organizations, some of which are so-called on the market and others that we're having more preliminary conversations with about potential opportunities down the road. And it's primarily around acquisitions that can help us to enhance and expand our workforce solutions portfolio, but it could also be creating more scale and capabilities within some of our existing businesses where we feel that, that would benefit us and our clients. And then third will be potential consolidation opportunities. I would put them in that exact order. As you would expect, the workforce solutions opportunities are fewer and likely more expensive. Most of them have a technology element to them and that is part of what makes them very attractive and that they have a maturity at least more recurring revenue and higher margins. But many of them are also very early stage and may even be pre-profitably. And so we've always been very careful about that to make sure that we enter service line or a product at the right time with the greatest level of certainty for success. So we're evaluating a whole host of those opportunities. I would say that valuations are stronger than what we've seen in the past. It's true for everybody including us. And so we have to be willing to step up to those valuations within reason. But you know us, we've always been very disciplined and that's why we perhaps not pursued certain things. But I would characterize it as very active and a nice number of very attractive opportunities and I would expect that there will be more as we continue through the year. We will also, by the way, look at some minority investments. We've done one so far in a digital online staffing business, and we will potentially look at others. It's not our preference, but sometimes it's appropriate and we'll make that decision. We still have a buy back in place that the board has authorized and still have actually the majority of that available, and so you would expect that we'll be using that as we see appropriate when we can be opportunistic in the market.
Unidentified Analyst: Okay, thank you.
Susan Salka: Thanks, Tim.
Operator: And we have a question from A.J. Rice with Credit Suisse. Please go ahead.
A.J. Rice: Hi, everybody. Just a couple questions if I could ask. So – and in some of these are sort of detailed number questions. But so the tax rates forecast to follow that 11 percentage points from 40% to 29% largely because tax won obviously, I guess the statutory rates dropping 14 percentage points. Is there any reason why wouldn’t drop little more than what you've said? Is there some offset that in that tax law that we should think about?
Brian Scott: This is Brian. I know there's been a few pieces noise in our tax rate in the last couple of years, but our – again, our underlying rate if you were to remove that in 2017 closer to 41%. There are some discrete items that are industry related that keep our rate above that – we typically think of a more statutory rate of around 39% kind of the old tax. So could take that as the starting point. The 40% federal reduction, it also reduces the shield on the stake rate, so the net of that is about 13%. There are a few other items in the tax code that have a modest increase in the rate as well. So you can take all those together. That's bringing to our bad debt closer to 29%.
A.J. Rice: And do you have a figure for how much cash benefit you're going to get from the tax reform roughly you think this year?
Brian Scott: It will be in the 25-ish range.
A.J. Rice: Okay, all right. And you said you're going to plow, obviously back in some initiatives to enhance employees and digital tools and so forth. Did I get the number right? You say that's a 20 basis points drag on EBITDA. Is that right?
Brian Scott: Yes, that’s correct.
A.J. Rice: And does that -- so the 12.6 for the first quarter reflects a 20 basis points drag from these investments?
Brian Scott: Not really. So we're just starting to -- we're working through those ideas and so more of them will roll out in the second quarter and beyond. So a very modest impact in this first quarter, but it will still if you look at kind of the quarters through the rest of the year, we wouldn’t expect at this point for it to be more than 20 basis points in any one quarter, but that's kind of how rounds out for the full year as well.
A.J. Rice: Okay. And then on the SG&A side, you're down 100 basis points as a percent of revenues, I think, in the fourth quarter. And I know you have a seasonal step up and then I think SG&A going into the first quarter, but you were down 50 basis points in the first quarter year-to-year. Any -- where are you at on SG&A? Was there anything unusual in the fourth quarter and what's driving the improvement? And what is the outlook you think looking at a little longer term?
Brian Scott: Sure. This is Brian again. So in the fourth quarter, I mentioned it was -- there was an actuarial benefit in the Nurse and Allied segment, but we also had some other reserve increases, so the net of all that was pretty nominal. So the fourth quarter was a relatively clean from an SG&A standpoint and the guidance we've given in the first quarter there is nothing unusual in that. So I think it's a reasonable starting point for the year. We would expect over time to continue to leverage, but in the near term we also as we get more leverage, we're also investing in the business and investing in some of these initiatives as well. So even as you quite as much of that operating leverage for the next couple of quarters, as we make those investments, but it's a good clean start in that guidance for the first quarter.
A.J. Rice: Okay. And then this is my last question on the MSP, I mean [indiscernible] down. You said about 45% of revenues are coming from MSP related contracts – that’s overall or that’s a specific sub-segment. But I guess that grows as you get more MSP contracts, as you get a better fill rate on the MSPs you have. Can you just maybe give us a little bit more flavor as to what are the – what is contributing to that becoming higher and higher percentage at this point. How much of it is just new MSPs and how much is better fill rates or something else that maybe I'm not thinking of?
Susan Salka: Sure. So the 45% we were referring to was actually specifically for Allied. And so our nursing is higher and Locum is lower. If you look at AMN's overall revenue, consolidated revenue, MSP revenue now constitutes 40% of that revenue. And it's coming from both increased fill rates but also increasing our gross spend under management and goes back to the wins that we’ve had over the last year.
A.J. Rice: Okay. Do you have any sense what that 40% would have been maybe a year ago or something, roughly?
Susan Salka: I think it was around 35% and the year before probably close to 32%, 33%. Of course, 10 years ago it was nothing. And so this is – as you well know, AJ, this is extremely positive for AMN's business model and our ability to not only execute well and serve our clients better, but also it does provide cushion and a litigation in times when orders maybe softer. And so we see it as a great way to create a healthier stronger profile for the organization we have done and the more we can increase that not only we are better part of our clients and we can pull through other service lines, which we’ve done, but we can also protect ourselves during any future periods.
A.J. Rice: And just the last question on that. Is the gross spend, do you have any sense of maybe say your MSP contract -- clients, how much of that might be up year-to-year across the board?
Susan Salka: So when we will be look at it is our gross spend under management across our VMS and our MSP businesses, which is over $2 billion. I don't have that percentage right off the top of my head. We could probably get it for you before we hang up this call.
A.J. Rice: Yes, just was thinking about yours is going up because your caps were more MSPs too and a variety of things, but I just wondered sort of a proxy for the underlying growth of the sector maybe your best clients. How much are they spending this year versus last year would be interesting dynamic. But yes, okay. That's good. All right. Thanks a lot.
Brian Scott: Yes, this is Brian. I think the total spend I think is up north of 20% year-over-year. But that keep in mind that also both the growth maybe with an existing accounts, but also new wins that have rolled into that number as well.
A.J. Rice: Right, right, yes. I was thinking about is there any way to get the – sort of proxy for industry growth by looking at sort of growth spend on an apples-to-apples basis, but okay. That’s good.
Operator: Thank you. And we do have a question from Jason Plagman with Jefferies. Please go ahead.
Jason Plagman: Hey good afternoon. So on the MSP topic, the last three years now, you’ve been in the $200 million total MSP wins per year or north of that. Is that – should we expect that to continue for the next few years? Is that a typical win rate you’re expecting?
Dan White: Jason, this is Dan. I’ll just give you a little bit more color. So three years ago, it wasn’t nearly that high. Last year, we had roughly $185 million and this year it was 25% improvement on that. So the trend, I think, is more what you want to look at. I think that clearly this is a challenging market. But one of the things that I really kind of warms my heart at this point is the recent movement towards seeing Locum. So again color for last year, Susan mentioned the 230, about 10% of that was Locum’s. With really strong competitor pushing against that in terms of headwinds, we can already see at least half as much of that in our Q1 pipeline that’s in contracting already. So we’re seeing a lot of movement in Locums and consistent new buyer, new MSP buyer activity, so there’s nothing in from my point of view that makes me feel like it’s going to slow down at all.
Jason Plagman: That’s helpful. And just on the travel nursing outlook, very strong for Q1. What are kind of some of the moving parts that you’re thinking about as we get later into the year that would allow you to either maintain that or stay in that neighborhood?
Ralph Henderson: This is Ralph. Brian probably has a good sense on those, the seasonal trends but I will start out. We do pull back a little bit in Q2. We have a lot of winter needs in California, Arizona, Florida, that those assignments come to an end, and we redeploy a majority of them into other places but it does – volume does drop up just a little bit then. I think the reason we feel good about the rest of the year is when you’re just talking to Dan about is the wins on the new MSP and we’ve had such great success in accelerating the implementation of those program. It used to sometimes take us 120 days. It seems like we’re down now below 90 days on average and getting them up and running. And so that we’re kind of in a fixing the project that accelerated the place of getting them up and running, so that’s been good and even just a time and type and size of those deals that geographic distribution, that all makes us feel good about it. I guess probably the last kind of anecdotal pieces in our conversations with healthcare administration, we’re not hearing as much pressure on utilization of temporary health as we did last year at the beginning of the year, quite a bit less, I think they are less concerned about reimbursement and more concerned about capturing volumes, patient safety than they were last time.
Susan Salka: Jason, the other thing I would do is kind of overlay the macro environment and other demographic trends that are playing in our favor. So we talk frequently about the number of healthcare job openings versus the number of hires, which if you look at the December, continues to be at pretty much and all-time high ratio of 1.9 physicians for every hire made. That does not seem to be abating. In fact, if anything, I think from our client perspective, there is concerns that, that could get worse because of the competitions for great clinical labor or really any kind of workforce within healthcare. And then you also layer in there that other separations, which are primarily retirements continue to be on the rise. This is one of the BLS statistics that I think many people overlook. But if you look at the number of separations, just in December alone, it was 53,000, which was up 29% over prior year. And this again, the vast majority of that are retirements. For the whole year, it was up I think close to that as well. So I think it’s something that’s not going to get easier. It’s going to get more challenging for our clients to both recruit and retain but then also deal with these aging demographics of their own workforce.
Jason Plagman: That’s it for me. Thanks.
Susan Salka: Thanks, Jason.
Operator: And we have a question from Mitra Ramgopal with Sidoti & Company. Please go ahead.
Mitra Ramgopal: Yes. Hi, I just following-up on the MSP. First, I know you mentioned you have a great pipeline in terms of new MSPs, but I was just wondering in terms of the existing business. I know back in 4Q, regarding premier you’re able to add on RPO, VMS, et cetera. How much opportunities you have among existing clients for layering on such additional services?
Dan White: So there’s probably a number of ways I can talk about that. This is Dan, Mitra. Just on RPO question you have, we had a really nice win in Q4 that puts some up a little over $2 million worth of long-term programs that were signed that are really helping us move into 2018 with some strong enthusiasm. Another way to think about that cross-selling kind of activity is when I look at our top 20 strategic accounts and I look at we have 15 distinct offerings that we can sell into those customers, 75% use more than five of those offerings, which is up from 45% a year ago. So tremendous effort not only from the teams to introduce those, but also to our customers looking at the whole what I’d like to call the entire human capital equation. One last nice bit of news is when you look at Avantas, which is our workforce optimization business, we’re actually pushing and pulling the cross-selling. So in Q4, their revenue was up. And for all of 2017, 40% of their new client revenue came from MSP clients. In addition, two of the larger wins in the second half of the year were existing Avantas clients. And so we’re sort of getting the best of both worlds out of that particular customer base.
Mitra Ramgopal: That’s great. And on the new MSPs, are you also selling more initial services?
Dan White: When you say more initial services you mean…
Unidentified Analyst: Yes, you already bundling in RPO, VMS, et cetera.
Dan White: No. We typically we have Nurse and Allied that come together more often we are seeing Locums being consider at the same time, but typically those things that would follow into other workforce solutions would be consider to add on sales and again just to give you a sense, last year we had 17 of those – 17 million – excuse me of those kinds of add on service lines go through to our existing base.
Unidentified Analyst: Okay. Thanks. Very helpful.
Operator: And we have a question from Bill Sutherland with The Benchmark Company. Please go ahead.
Bill Sutherland: Thanks. I’ve got one last. The perm trend, talk to me a little about and what the dynamics are for that improving and when you do think it's possible to -- what are kind of the issues to getting to in a positive comps again? Thanks.
Susan Salka: Sure, Bill. So I’m going to talk primarily about physician permanent placement because that’s where we've seen the greatest impact over the last couple of quarters. And as we said it is improving going into the first quarter, but still under prior year a bit. And so the things that are seeing improved our new search is everything starts with the searches, and you have to be bringing in new searches in order to have the opportunity you need to make the price than obviously. We did have a very difficult comp into -- in the second half of 2017, because we had the largest clients for MHA reduce its number of searches because we filled them. It was a great new story quite honestly, and that we feel them that there were not – there was not an ongoing tale recurring business there to back fill it and we had difficulty replacing in the searches with enough new clients. The team however as really done a great job of reorganizing and reproaching the market to look for more of those larger opportunities. And I have to say they give credit our academic and physician executive search teams in particular have had phenomenal growth over the last year or so. We have to find more of these larger system clients in order to really have the more sustainable searches at this size of business. The other thing that occurred is our placements per recruiter dropped in the second half of last year, and we're starting to see that improve, and that's obviously an important metric not only for us, but for our clients to make sure that we're getting those jobs still very quickly. So those things are improving, it's going to take a couple of quarters. I've mentioned before that we are reorganizing some of our teams a bit it, and also it's generally making sure that we're doing the best job possible in recruiting and onboarding recruiting our new team members. And so we completely revamped our onboarding and training program for our recruitment and marketing teams. So we're hopeful that we will begin to see the benefits of that as those individuals start to actually move into their roles and become productive. So I hope that that’s helpful.
Bill Sutherland: That's very helpful. So the placements per recruiter last year coming down a bit. Was that just kind of the general tone of the market as far as longer decision-making? Just longer cycle times with the clients? Was that an issue?
Susan Salka: No. I don't really think so, Bill. We really believe it was more on us to be honest. We were getting the demand where we had good coverage out in the market. We also were short-staffed in terms of our marketers, which are the client sales facing individuals with the market. So we were getting the searches but more than that, we weren't necessarily executing well on our placements. We weren’t getting the candidates top clients to be interviewed even for the searches that we had. But again that tide is turning and returning to some better metrics, so we feel better, but it's going to take a couple of quarters for us to get us a positive view year-over-year position.
Bill Sutherland: Okay. And then one just stepping back question. So you're looking at a trend line of Nurse and Allied on a year-over-basis seems it could be sustainable maybe not quite as good as Q1, you've got definitely a better trend outlook for Locum and also for OWS in the latter part of the year. Is that the kind of how we should think about the whole year?
Susan Salka: Yes. I think that’s a good way to encapsulate it.
Bill Sutherland: Thanks for that. That’s sounds great.
Susan Salka: Bye. Thank you, Bill.
Operator: And we have a question from Brooks O'Neil with Lake Street Capital Markets. Your line is open.
Brooks O'Neil: Thank you. Good to ask, maybe the last question and perhaps the most important one from an investor perspective. I saw some things that suggested people think you missed the consensus adjusted EPS and I think Brian, I heard you say that was probably entirely related to a different tax rate that you assumed. Could you just help us to be sure we understand what's going on there that 39% to 42% range where you talked about?
Brian Scott: Sure, Brooks. So my understanding is a consensus was $0.63, which is what we came in at. If we pointed out that the tax rate impact and probably because we have always been in the top line and so in line consensus. I want to make sure that we address that that it was driven 100% by the tax rate being a bit higher than what we've seen in the consensus, which was I think consensus is around 40%. We came in at 42%. There were a couple of different things in the quarter just kind of year-end turn ups on out the state rates and no one big item, but just a few things that ended up being a bit larger. So the rate in the quarter was above what we had guided for Q4 and above what had been modeled in consensus and really every 1% higher is about penny. So the guidance who given as 39% versus what we came in at 42% that’s the recent impact. So adding that back it would have been $0.66 adjusted EPS.
Brooks O'Neil: Great. That's what I was thinking. And then just lastly, I think I recall that you were having some issues in the hospitalists business and I haven't heard you say much about that business on the call. So I was hoping to just get an update on what's happening there now?
Ralph Henderson: Yes, this is Ralph. Hospitalist is -- sequentially in the quarter, but they're still below prior year and had some recent translating and that's base with some new customers coming on and that's helpful. But it's still a bit of a drag and we're seeing a shift facilities going to advance practice specialties for business since practitioners in those roles, you say good for that side of the business but that's had a lower bill rate unfortunately than the hospitalists. So not we're not out of the yet I guess on this one, but certainly a little less dependent on it. It's about 22% or so of our Locums business, so we hope to improve right away.
Brooks O'Neil: Great. Thanks. Very much.
Ralph Henderson: Thanks Brooks.
Operator: Thank you. And we have no additional questions in the queue. I’ll turn it back to our speakers.
Susan Salka: Wonderful. Well, we’d like to thank everyone for joining us today on the call and certainly for your ongoing support. We're very much looking forward to updating you on our next quarterly earnings call.
Operator: Thank you. And ladies and gentlemen this will conclude the teleconference for today. Thank you for your participation and for using AT&T Executive Teleconference service. You may now disconnect.